Operator: Thank you for standing by. My name is Kayla, and I will be your conference operator today. At this time, I would like to welcome everyone to the Franklin Street Properties Corp. First Quarter 2025 Results. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the call over to Scott Carter, General Counsel. You may begin.
Scott Carter: Good morning, and welcome to the Franklin Street Properties' first quarter 2025 earnings call. Joining me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; Jeff Carter, our President and Chief Investment Officer; and John Donahue, President of FSP Property Management. Also joining me this morning are Toby Daley and Will Friend, both Executive Vice Presidents of FSP Property Management. Please note that various remarks that we may make about future expectations, plans and prospects for the company may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2024. As amended by our quarterly reports on Form 10-Q, all of which are on file with the SEC. In addition, these forward-looking statements represent the company's expectations only as of today, April 30, 2025. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company's estimates or views as of any date subsequent to today. At times during this call, we may refer to funds from operations or FFO. Reconciliations of FFO and other non-GAAP financial measures to GAAP net income are contained in yesterday's press release, which is available in the Investor Relations section of our website at www.fspreit.com. Now, I'll turn the call over to John Demeritt. John?
John Demeritt: Thank you, Scott, and good morning, everyone. I'm going to give a brief overview of our first quarter results. Afterward, I'll pass the call to George for his thoughts. As a reminder, our comments today will refer to our earnings release, supplemental package and 10-Q, which, as Scott has mentioned, can be found on our website. We reported funds from operations, or FFO, of about $2.7 million or $0.03 per share for the first quarter of 2025. We also reported a GAAP net loss of about $21.4 million or $0.21 per share for the first quarter. With that, I'll turn the call over to George. George?
George Carter: Thank you, John. And again, welcome to Franklin Street Properties' first quarter 2025 earnings call. Just to highlight my written comments in our earnings press release of last evening, I will say FSP remained focused during the first quarter of 2025 on the same two primary objectives as last year. That is to advance leasing of space in our existing property portfolio and to continue to pursue property dispositions. We intend to use net proceeds from any property dispositions primarily for the continued repayment of our debt. More recently, however, over the last approximately 6 weeks, the broader economic environment has displayed several macro uncertainties that bear watching for their potential longer-term impact on deal-making within the office asset class. The recent tariff headlines, for example, have introduced increased volatility and uncertainty into the marketplace, potentially affecting both corporate leasing decisions and investment in acquisition of office properties. While we can't control such external factors, we are monitoring these situations closely and are endeavoring to remain flexible and agile. We continue to engage with tenants, both existing tenants and new prospective tenants, our associated professionals, our existing capital partners and new potential sources of capital, so we can enhance our potential to move more quickly to a specific action when appropriate. And we continue to explore a broad spectrum of alternatives to try to ensure we unlock the full value of our property portfolio for shareholders. We are actively considering all options, from operational adjustments to strategic transactions, and are consulting with several third-party professionals in that regard. We remain confident in our direction, but are also open minded as to the best way to move forward successfully to our ultimate goal. I will now turn the call over to John Donahue, President of our Property Management Company, for some more color on leasing. John?
John Donahue: Thank you, George. Good morning, everyone. The FSP directly owned portfolio was approximately 69.2% leased at the end of the first quarter, compared to 70.3% leased at the end of the fourth quarter. Economic occupancy of the directly owned portfolio was approximately 67.7% at the end of the first quarter compared to 68.6% at the end of calendar 2024. The decreases were attributable to multiple lease expirations and departures in Dallas and Denver. The strong and encouraging leasing results to close out calendar 2024 were followed by a weak and somewhat disappointing first quarter. FSP finalized approximately 60,000 square feet of total leasing during the first quarter, which was comprised entirely by renewals and expansions. As previously communicated, we anticipate a choppy quarter-by-quarter ride for aggregate lease executions for calendar 2025. However, we remain optimistic that the full-year results will show progress. During the first quarter, final corporate leasing decisions regarding relocations to our assets have stalled in multiple cases. Dozens of small and mid-sized prospects appear to be in a wait-and-watch position due to recent market volatility and macroeconomic circumstances. The upward trend of tenants in the market witnessed during the second half of 2024 has continued into the first quarter of 2025. The pipeline of midsized new tenant prospects and those seeking at least one full floor, particularly in the suburbs, continued to grow over the last few months. FSP is currently tracking approximately 800,000 square feet of prospective new tenants, including approximately 300,000 square feet of prospects that have identified FSP assets on their respective shortlists. In addition, FSP continues to work with more than 400,000 square feet of potential renewals, which includes expansions and downsizings. Scheduled lease expirations for the rest of calendar 2025 total approximately 246,000 square feet, which represents approximately 5.1% of FSP's directly owned portfolio. Barring any significant surprises or the impact of potential dispositions, the FSP portfolio is well-positioned to enhance lease occupancy with positive net absorption during calendar 2025. Thank you. I will now turn it over to Jeff Carter.
Jeffrey Carter: Thank you, John, and good morning, everyone. I'll provide an update on our disposition activity as well as some perspective on current market conditions. As a reminder, since initiating our current disposition strategy in late 2020, we have completed approximately $1.1 billion in property sales, which has contributed to a nearly 75% reduction in our corporate indebtedness, reflecting our ongoing focus on balance sheet strength and financial flexibility. Each potential disposition effort considers unique factors including tenancy, occupancy and local market dynamics. But across our disposition program, the sales we've completed to date have averaged approximately $211 per square foot. We continue to believe our share price does not reflect the longer-term intrinsic value of our underlying portfolio, and we remain committed to selectively selling assets when we believe their valuation potential in the short to intermediate term has been achieved. To this end, we are currently marketing several properties totaling approximately $1 million square feet for potential disposition. As a reminder, for competitive reasons, we will not be discussing potential disposition activity or candidates beyond what has been publicly disclosed. We believe this discretion is in the best interest of our shareholders, particularly in today's environment, and we will continue working closely with our brokerage partners to identify and pursue the highest value outcomes on a deal-by-deal basis. Turning to market conditions, while the office investment landscape remains challenged, we are beginning to see signs of stabilization. National office transaction volumes rose by 22% in 2024 from the cyclical lows of 2023 and accelerated in the first quarter of 2025, finishing 31% higher year-over-year. That said, within our markets and at our property types, investment and lending liquidity remains constrained, especially for larger institutional buyers, with both debt and equity capital still difficult to access. Cap rates remain elevated, and office asset values are generally below 2021 levels. Where transactions are happening in our markets, they continue to skew towards smaller, higher-quality, well-leased assets, and traditional institutional capital has remained largely on the sidelines. We are actively tracking these trends as we engage with credible buyers and market professionals across our disposition targets. Consistent with our stated strategy, proceeds from any asset sales will continue to be used primarily for debt reduction, enhancing our optionality and positioning the company to pursue any path that maximizes shareholder value. And with that, we thank you for joining us today. Kayla?
Operator: [Operator Instructions]. And our first question comes from the line of Steven Dumanski. Your line is open.
Steven Dumanski : Good morning, gentlemen. Can you please provide more insight on why leasing was solely executed for renewals during the first quarter?
John Donahue : Sure, Steve. This is John Donahue. We were working on a handful of new leases that just had stalled out maybe about a month ago. We are still pursuing those renewal transactions, the new lease new tenants. And we're having some success post-quarter, so I believe that we'll have some encouraging news here for Q2 and by Q3 certainly. But the renewals have been also slowed up to materialize, but we were able to finalize 60,000 square feet in Q1, and we have a very large pipeline of those who are engaged with over 400,000 square feet of tenants. So likewise, we believe we'll have some good news there. But yes, it was a disappointing first quarter for new leasing. We had more folks that we're going to expect the choppy ride there, but we do believe that as the next two quarters materialize, we'll have some good numbers.
Steven Dumanski : Thank you. Also, another question in terms of leasing, more from a top-down macro basis, which geographies currently depict greater strength in your portfolio?
George Carter : So, I think the best way to answer that question would be to say that the tenants in the market, as far as total volume and demand, we're seeing strong, consistent activity in Texas, particularly in Houston. So, for our building types in the energy corridor of Houston, we're seeing solid, strong demand that has continued to get stronger over the last year or so. Dallas is not quite as strong as Houston, but we are seeing a pickup of tenants in the market, particularly with larger users. Denver and Minneapolis, the downtown CBD markets are certainly better than they were 6 months to 12 months ago and certainly better than they were multiple few years ago, but they are not quite as robust as the suburbs in Texas.
Steven Dumanski : Thank you. That was very helpful. I appreciate it.
John Donahue : You're welcome.
Operator: And there are no further questions at this time. George Carter, I'll turn the call back over to you.
George Carter : Thank you, everyone, for listening to our earnings call, and we look forward to talking to you next quarter or with any information that occurs before that. Thank you again. Have a great day.
Operator: And this concludes today's conference call. You may now disconnect.